Operator: Ladies and gentlemen, welcome to the D'Ieteren Group 2025 Half Year Results Conference Call. [Operator Instructions] Please note this call is being recorded. Today, I am pleased to present Francis Deprez, CEO; Edouard Janssen, CFO; and Nicolas Saillez, CIO. Gentlemen, please begin.
Francis Deprez: Well, thank you. Good evening or good morning to all of you, depending on where you are in the world on this H1 results publication of the D'Ieteren Group. We have 3 main messages for you today. First of all, is that in our normal KPI, the adjusted profit before tax group share, we landed at EUR 452.4 million, which is exactly in line with our expectations. It, of course, takes into account the fact that there were less trading days and that we have additional financial charges given the debt that we raised at the end of 2024. The second message is that we have entirely repaid or reimbursed our EUR 500 million bridge loan now faster than planned. It was a 2-year loan. But in the first 6 months, we basically paid it back fully. And the third message is that we confirm our guidance and our outlook for the entire year 2025, as we had launched it in the month of March earlier this year. Now on the key highlights of the results, the EUR 452 million is, of course, a lower number than the EUR 580 something that we had in H1 of last year. The difference of EUR 133 million can be explained majority-wise by the financial charges that we have both at the corporate level and at the Belron level. That's a small EUR 100 million, I would say, if you take into account and also at the group level, we do not have the financial income on the cash that we used to have in '24 anymore, of course and that is now turned into a financial charge. So that explains about a small EUR 100 million of the EUR 133 million. And the remainder is mainly explained by D'Ieteren Automotive, which is experiencing a normal year rather than the exceptional year that we all knew about in 2024, '25 is a more normal year for auto. In cash flow, the trading cash flow is, of course, the more relevant one, I would say, this time around, because in our free cash flow, we have the financial charges next to the taxes and the acquisitions and so on that we did. And in trading cash flow, we also reached about EUR 482 million the exact number to be precise on that one. We qualify our results as resilient, the results of H1 2025. I mean, take the profit before tax group share numbers, they grew 7% at both Belron and PHE at Belron, if I take -- if I kind of exclude the financial charges. We are above EUR 100 million in PBT group share at East in Automotive, close to EUR 40 million at TVH. So these are the kind of key elements of the resilience, but that will come back when I give a bit more details in a minute. If I turn to Page 4, where we give a bit of a breakdown on the top line numbers, you can see that we have a slight decline in sales group share, 2.9%. It's 2.6% if you correct for the foreign exchanges. Of course, auto is the bigger contributor to the decline because we have less cars. We had a smaller market. And so it's 11.2% less top line at automotive. But if you take that out, we have seen growth. And it's about 5% growth at PHE. It's about 4% growth at Belron. It's relatively flat at TVH, 0.2%. The foreign exchange didn't help in that, either there and a slight decline of minus 3.6% at Moleskine. The translation of that in operating results on Page 5 is minus 4.9%, corrected for foreign exchange, 4.6%. Again, of course, auto, not surprisingly, is lower, but it is really in line with what we had expected for the year, but it's, of course, a lower number at EUR 150 million instead of the EUR 158 million of H1 of last year. But if I take that one out, we have a growth at Belron of plus 4.9%. We were quite stable at PHE, plus 0.2% in adjusted operating results. The kind of lack of -- a lot of growth at TVH did result in a lower margin at TVH. And so we're minus 15% in terms of operating result there. And also at Moleskine, the slight decline immediately translates in a bit less bottom line as well. Our breakdown of the PBT group share, which I gave you some highlights already, you can see on Page 6 in a bit more detail. Of course, at Belron, the number is lower given that we have clearly more financial charges, EUR 62 million to be precise. Nevertheless, they only declined EUR 42 million, I would say, in PBT group share. So it's actually a growth if you take that out. Auto, as I said before, from a lower base, of course, also some lower absolute profitability. But as you will see, we're quite happy with the margin there, 4.5% margin at auto, up at PHE, so a positive number there. And then at Moleskine at TVH, Moleskine is really not very significant. But at TVH, we've also seen a decline in the PBT group number. And at the group level, not surprisingly, no more financial income now, instead some financial charges. We have now a negative number rather than a positive number last year. The free cash flow number, I give you a bit more detail here on Page 7 in terms of the free cash flow is what you see here. And so the biggest difference there, of course, is the positive free cash flow that we had at the very high level at D'Ieteren Auto at the end of June of last year, while this year, the picture at the end of June is slightly negative given that we are now in a different phase of the inventory rundown and buildup than we were a year ago. Also at PHE, we have a picture which shows a negative cash flow. It's actually the fact that they did more M&A on the one hand and that also they basically accounted differently for some of the factoring that they were doing at PHE. So and a working capital change over there. By the way, we did do some inventory buildups at both Belron and Moleskine to anticipate tariffs, and that also explains a little bit why inventories were a little bit higher at those 2 companies. In terms of financial position, in terms of debt, well, given that we've now reimbursed our bridge loan, you can see that we have now a net financial debt situation, which moved from EUR 652 million to EUR 295 million. And so in that sense, a better number. Of course, includes the fact that we received dividends from some of our activities. These are automotive, Belron and TVH to be precise. We also had some cash flow consumption, some treasury shares acquisition, and we paid out our own dividend, of course, to our shareholders in June 2025 for about EUR 85 million. In terms of latest developments, what are notable things on Page 9, at Belron, we did do a repricing of the dollar portion of the debt, 25 bps. I think we mentioned that before the summer. We do see encouraging volume trends in the U.S. We'll come back to that in a minute on Belron, there was not that much volume growth in H1, but we see encouraging trends more recently there. There was some acquisition at Belron as well in Ireland, in particular, and a couple of small ones in the U.S. for about EUR 28 million. And Belron also did pay already a dividend in the first half of this year, about EUR 211 million to all shareholders, of which a good half came to us. D'Ieteren Automotive, what are the latest developments there? We have a normalized order book, about 27,000 vehicles and also D'Ieteren Auto, and that's actually what allowed us to reimburse part of the bridge loan is that we received a dividend of EUR 400 million for them given the very strong cash flow they had at the end of December. That was, of course, something we could do. PHE continued its acquisition. You've read that. We've talked about that when it happened, in particular in Ireland top part. So we also bought something in an additional region in Spain in the area of Tarragona, AD Freco in Spain. In TVH, we have seen softer markets, and so we'll go in a bit more detail in the numbers in a minute on H1, but we're actually changing slightly our guidance for the entire year for TVH. It won't change the overall guidance for the group because we'll compensate in other activities. But in TVH itself, we anticipate a lower single-digit top line growth and therefore, also a bit more margin decline that we had mentioned in March. As you know, and that was the news of last week, the collaboration with Dominiek Valcke upon mutual agreement between both parties was decided to end the collaboration, and we are in the beginning of a process of looking for a new CEO at TVH. And also TVH did pay its dividends a bit more than EUR 100 million to all its shareholders. And then last but not least, at Moleskine, we are actually quite happy to see strong consumer demand. The sell-out that we see at our main wholesale customers is actually quite positive. It's double-digit growth that we see there. However, they remain to be very cautious in their inventory policies. And as a result, the sell-in is not there. We'll get to those numbers in a minute as well. And we are in a very cautious expansion of the retail footprint again at Moleskine. We've opened 7 retail stores I think we have a better and clearer concept of what stores we want and how to make them work in terms of traffic conversion and average ticket per consumer. And so we've done a couple of stores, primarily Europe and a couple in Asia as well. I will actually go still through the Belron numbers before I will ask my colleagues to comment on the numbers of some of the other activities. In terms of Belron, I will immediately go to Page 12. That gives you a bit of a breakdown of the top line. And on the table on the right, you can see that the 4.1% growth is 4% organic growth. It's 1% acquisitions and then almost a negative 1% in foreign exchange, 0.9%. It's relatively similar in the 3 regions, the strongest in the Eurozone, plus 5.3%, followed by North America, 3.4% and Rest of the World, 3.3%. There was, of course, 2 years -- 2 less trading days, and that somehow had some impact on the top line at Belron. ADAS continues to nicely develop. We're now at 45.9%, so nicely into our 4% to 6% range increase if you compare it to a year ago. And also our VAPS, value-added products and services, increased nicely to 24.8% compared to a year ago. On Page 13, the translation of this top line into bottom line has seen an increase in our margin from 21.2% to 21.4% -- and of course, the PBT did go down given that we have now more financial charges. And as I said before, if you take that out, it's a growth of 7.1% that is in there. The transformation costs have been quite loaded on to the H1 side. So there will not be many transformation costs anymore in H2 this year. But basically, that amounted to about 26.1%, of which EUR 4 million was classified as adjusting items. And so that also plays out its role in the definition here of the adjusted margin. Adjusting items on Page 14, you have the usual ones in there, a combination of long-term incentives of things related to amortization linked to acquisitions, customer contracts and what have you and a couple of other things that are in there. Nothing very special to mention, I would say, on that front. In terms of free cash flow and net debt on Page 15, there was a bit of more CapEx, EUR 62 million almost, so 1.8% of sales. The acquisitions were in line with last year, close to EUR 30 million. There have been, of course, higher cash interest given the new debt, and there has been a bit lower working capital inflow given that we were anticipating tariffs there. What we were helped with is in the overall level of the net debt, which now stands at about EUR 8.4 billion. The fact that the dollar exchange rate went lower over the first 6 months of the year and the fact that we had a positive free cash flow generation in the company in itself did help to decrease the level of the net debt overall. And we are in terms of leverage ratio, also quite nicely on track. We are now at 4.73 where we were at 5.5 in October and 5.15 at the end of December. So that's really following the trajectory that we anticipate. For D'Ieteren Automotive, I suggest Edouard to give us a bit more...
Edouard Janssen: Indeed. Thank you, Francis. Hello, everyone. Moving to D'Ieteren Auto. As an intro, as explained, right, let's remember that 2024 was a record year for D'Ieteren Auto in terms of margins, in terms of free cash flow and in terms of a very solid top line in what we had called a premiumized environment. If we go to the second slide of auto, the Belgian new car market, we see a contraction in H1 of 10.9% to 10.2% on a net basis to 235,000 gross registrations. And the D'Ieteren Auto market share -- overall market share stayed -- showed a small decline in that environment to 23.1% from 23.8% last year. Decline was mainly the result of Audi and SEAT, while Volkswagen stood strong and even increased a bit its footprint. On commercial vehicles, an increase of 8%. Then if we look at our P&L, definitely, we see that number of new vehicles delivered, which declined by 22% year-on-year, very much the result of these 2 elements. On one hand, the decline of the Belgian market and on the other hand, our small decrease of 75 bps. Very much as expected, right, at the time earlier in the year, let's say. So no surprise there. However, this decline in volume is partly offset by a positive price/mix as well as sales growth in other mobility services, resulting in a sales decline of 11.2% year-on-year. In terms of adjusted operating profit, a significant decline there as well, 27%, leading to EUR 115 million, largely driven by these lower volumes, like we said, compensated by this positive price mix. We have an adjusted EBIT margin at 4.5%, still above our historical levels and very much aligned to our expectations. Important to flag here that there are numerous electric cars in our portfolio of the Volkswagen portfolio. At Audi, for example, you have A6, Q6, Q4 at Volkswagen, you have ID.7, ID.4. All of these are still a rather premium portfolio of electric of EVs, which find very well their way in the Belgian market where B2B is particularly important. If we move to the specific market dynamics, we see that indeed electric cars now represent 33% of the market, while hybrid is still for 20%. And important to flag, D'Ieteren Auto remains the leader in EVs with a 28.4% market share. Like we said, a solid portfolio of cars, like we said as well, rather still premiumized, which help on the price/mix aspect. We can see as well that in 2025, the private segment of the market has increased up to 45%, which is, of course, important. We had a Brussels Motor Show in Q1, which actually was quite strong, as we said earlier, and which had certainly supported this private buyer mix. If we move to free cash flow and net debt. As expected, following a record year, trading cash flow and free cash flow both declined, mainly because of a negative change in working capital, right, EUR 180 million thereof delta, resulting mainly from a lower release from inventory levels. If you remember last year, we were really using this very strong order book with which we had started at the beginning of the year and as well lower inflow from trade payables, mainly with our core supplier. In terms of adjusting items, EUR 43 million negative, mainly a significant LTIP, so incentive plan payment of EUR 39 million after, of course, the very strong performance of last year, the result of a very strong performance of the management teams. And finally, the decline in operational results led to an EBITDA declining 17% year-on-year. In terms of net debt, important to flag that following the payment of this EUR 400 million dividend. The net debt to LTM EBITDA stands at a very reasonable 1.5x at the end of June, which is, as we said, very much as we had expected.
Francis Deprez: All right. I suggest we move to PHE and that Nico, you can maybe enlighten us a bit on PHE.
Nicolas Saillez: Sure. Hello, everyone. So PHE did deliver a very solid set of results, quite in line with our expectations, by the way. So the sales increased by 5.2%. And remember, we had a bit more than 2 trading days less this first half. So that's almost 2% growth that we didn't see because of that. Organic growth was 3.4% and then the rest comes from acquisitions. And the acquisitions were already mentioned by Francis was Freco in Spain and Top in Ireland. They grew market share in all territories in France, Italy and Spain. So they were quite convincingly ahead of their direct competitors in each of these markets. The adjusted operating profit margin was slightly down to 9.1%. And that's again really mainly to the fact that these 2.3 trading days were missing in the first half of 2025. There was nothing really to mention about the adjusting items. They're pretty much similar to what you already have seen in previous report results. And the adjusted PBT, as you have seen, is up almost 7%. In terms of free cash flow and net debt, the trading cash flow was EUR 66 million, again, completely in line with our expectations. And the free cash flow was lower mainly due to the fact that they indeed had these 2 acquisitions in the first half and also because there was a cash outflow from working capital versus last year when there was a release because of the nonrecourse factoring, if you remember. The net debt increased slightly and still very reasonable. That's about it.
Francis Deprez: All right. That's PHE, and I suggest we go to TVH.
Edouard Janssen: TVH, exactly. Same effect that we have seen at Belron and MPHE on trading days, of course, in H1 '25 versus H1 '24. But overall, activity levels that remained rather soft at TVH in H1. In MPA, the core market, right, low utilization rates of rental companies that we see both in Europe and the U.S., the 2 main markets as well some softness in the APA segment. However, in construction and CPA, decent performance and solid growth and development there also from TVH, especially in SEMs smaller moving, but also overall in throughout construction. Geographically, we can see a differentiated picture in H1, better volumes in Southern Europe and North America with a bit less growth in Northern Europe, LatAm and Asia. But overall, this leads us to sales that came in at very close to EUR 850 million, representing a year-on-year growth of only 0.2%, of which flat organic growth and 1.7% from acquisition and a negative currency impact of 1.5%. There, we see the very international activity of TVH with this negative currency impact of 1.5%. This is, of course, the soft market environment, totally in line with the revised outlook for the year for TVH that Francis elaborated upon earlier. In terms of adjusted operating result of EUR 121 million, we have a decline of 15.1% year-on-year, very much reflecting a negative operating leverage, actually from this limited revenue growth, right? Earlier in the year, we had expected and guided for stronger growth aligned also with the historical performance of TVH. And that combined with some inventory-related cost of goods sold increases -- and of course, last year, we had EUR 4.1 million of cyber-related insurance income. This inventory-related COGS increase comes from various causes, some FX, a tiny piece of tariffs of around 20 bps and some inventory cleanups and reduction releasing some costs thereof the inventory. All of that leading to an adjusted operating profit margin of 14.3% from 16.8%. So definitely, this negative operating leverage overall that is very perceptible. Similar impact on the adjusted profit before tax group share that amounted to EUR 38 million. However, to be flagged, free cash flow generation remained strong at EUR 38 million with a trading cash at EUR 78 million, very much the result that in this tough environment, they have compensated by keeping CapEx under control. If you remember, last year, there was the important acquisition of Sincanli in Turkey and this year, significantly less acquisitions. And finally, working capital under control. In terms of net debt, not much to be said. TVH paid a dividend of EUR 111 million and a debt which was pretty stable. That's it for TVH.
Francis Deprez: Yes. I think you can always read both for PHE and TVH a bit more details on the 1 or 2 pages that are after the executive summary. But I think in the interest of time and to allow for more questions, I suggest we continue with Moleskine.
Nicolas Saillez: So Moleskine, it was a sales decline organic of 3.2% with a negative currency impact. So in total, we had sales under pressure at 3.6%. As Francis mentioned, it was mainly due or seen in the wholesale channel. where we see actually quite positive trends in terms of sell-out. The sell-in hasn't been there in the first part of 2025. But you know what the only thing between sell-out and sell-in is the inventories and by a sense, it's filled. So at some point, we do expect to see some improvement there. Another area of improvement actually or positive trends were direct channels. So e-commerce and retail were all positive year-on-year. Obviously, because of that slight sales drop, there was also a bit of pressure on the margin that you've seen in H1, although I have to say that H1 is probably not the largest weight in Moleskine. As you know, the company is making most of its revenues and profit in the second part of the year and mainly in the fourth quarter. Adjusted PBT was almost flat. As you have seen, the free cash flow -- the trading cash flow was indeed negative, and that's mainly because of the conscious decision by management to prebuild inventories ahead of tariffs, and that's the reason why you see this change in the shape of the free cash flow.
Francis Deprez: That's about it on Moleskine. Maybe...
Edouard Janssen: A quick word on corporate and allocated just to say that logically in 2024, we had financial profits, right, related to our average cash position throughout the year. And this has resulted into financial charges in 2025. But we have communicated clearly, I believe, on the structure of our debt and the fact that we repaid already half so that the bridge loan anticipatively -- so this slide is self-explanatory.
Francis Deprez: All right. Thank you. And so we can wrap up by saying that we are confirming or reconfirming our guidance and outlook for the entire year. And in the appendix, you see the specific details that are behind all of that, but we reconfirm that entirely. I suggest that at this point in time, we open up for questions from the audience. So I give it back to the moderator.
Operator: [Operator Instructions] And your first question comes from the line of Michiel Declercq with KBC Securities.
Michiel Declercq: Two on Belron, please. First is on the margin front. I understand, of course, that there was a bit of an impact from the trading days. But I'm just wondering, you mentioned or you highlighted during the Capital Markets Day as well for this 23% target, at least 23% by the end of this year. This would imply quite a big step-up to more than 24% in the second half of the year, which seems a bit of a stretch. Can you maybe elaborate a bit on this if this 23% target is still intact? And what might be driving this big improvement in the second half? Is it also trading day related and also probably a bit the further normalization of the claims avoidance? And then the second question also on Belron. You mentioned that volumes are improving a bit. Now of course, it's a bit blurry with the trading day impact in the first quarter. But if I do a bit of the math and look at the first versus the second quarter, I don't really see this volume improvement yet. And more specifically, I have the feeling that the price/mix effect was a bit more negative in the second quarter versus the first quarter. If you maybe could elaborate a bit on that. Is that related to the fact that you go more towards the cash market? And then maybe a very small third follow-up question. If I look at the organic growth for the rest of the world at Belron, it looks like there was a bit of a big step down in the second quarter. Just trying to understand what is driving this. Those would be my questions.
Francis Deprez: All right. So on the margin, yes, of course, we confirm the margin that we have given our guidance for the entire year. Why we believe this is credible? Well, there's a couple of things that make us confident that the evolution is there. We do expect some stronger volumes in H2. It's linked to advertising, to capacity, to some footprint investments that have been done. It is continued progress in channels like cash that we do in the U.S., et cetera. As you know, we've also started in July doing some PPA service for one of the additional larger insurers in the U.S. and so on. So there's a couple of elements that give us some elements on the an expectation of stronger volumes. If I add to that, that the summer volume trends have also been supportive, that helps in that. We also have some trading days impact, of course. We're going to recuperate at least one at the end of the year. There are also actions that have been taken that we continue to take to work on cost containment, where that may be required or where that's relevant. But all the regions basically have their plans in either there or have already taken action. And also the transformation costs, as I mentioned before, have been very much front-loaded to H1, and there's not that much to be spent anymore in H2, which may have a bit of an effect as well. So there's a couple of elements that somehow lead us all in this direction to say that we're confident that we can count on a good H2 at Belron. You mentioned something about the price/mix effect Q2, Q1 and whether that's linked to cash. No, not really. There's no effect that if you do more cash and we do grow in the cash market in the U.S., certainly, you would see a change in the price/mix effect because of that. And you asked something about the Rest of the World, whether in the organic growth, there was something there in Q2 versus in Q1. There's also not that particular. The Rest of the World is, of course, a combination of very different markets. Now you have U.K. on the one hand, you have Australia and New Zealand on the other hand and Scandinavia and a couple of other countries that are in there. So it's a bit of a mixed thing. There is no particular thing to note, as I said, the growth rate was about 3.3% overall in H1. And yes, in that sense, it was not very different from the growth in North America, for instance, where it was 3.4%.
Michiel Declercq: Yes. It's just because I thought that in the first quarter, it was closer to 6% despite the trading days. So that's would imply roughly flat in the second quarter. I was just wondering if there was an explanation for that or -- if you can come back on this later.
Francis Deprez: [Technical Difficulty] particular thing that pops out to my mind, I have to say.
Operator: Your next question comes from the line of David Vagman with ING.
David Vagman: The first one is from Belron. So looking at H1, we kind of a flattish margin, only slightly up. Can you explain the lack of operating leverage? So despite having 4% organic growth in sales, stable volumes. So I guess all of the growth came from the price mix. And then you mentioned that Belron suffered from the negative impact of direct labor cost and marketing spend. Can you explain this? And also maybe quantify the margin impact that we had from, let's say, labor cost and marketing in H1 and how much they could still impact H2 basically? So that's a bit my first question on Belron. And then secondly, on the adjusted PBT group share, can you quantify the guidance? I know you reiterate the guidance, but it's slightly vague. So the consensus is around EUR 930 million, EUR 940 million adjusted PBT group share. Is this a figure you feel comfortable with basically? Or alternatively, if you don't want to quantify, if you could like reiterate basically the guidance or adjust, let's say, the guidance for each business? I understand TVH you're adjusting you reiterated kind of the guidance. So maybe talk a bit about the other division.
Francis Deprez: All right. So maybe on the guidance, I will leave that to Edouard in a minute, but maybe on Belron first. So well, there is a margin uplift. So it did go up with 21 basis points. There was indeed some higher labor costs that were there. There was more advertising. And the volumes were, in that sense, a bit less than anticipated. amongst others in the U.S.. So volumes were, amongst others were somewhat weaker in the U.S. And some of that investment in the addition pay that had happened at the end of '24, both in the U.S. and in some of the European countries have contributed to some of those direct labor costs things that have been there. It's not a mix of between cash commercial and insurance that in the U.S. that would have had -- that did not have much of a dilutive effect, I would say. And then as I said, the transformation costs, we had anticipated it more evenly throughout the year. But actually, it does make a lot of sense if you think about it, to have front-loaded everything because we're at the end of our transformation program. And so that basically means the investments are almost entirely behind us now. And that explains a little bit why you had less margin uplift in H1. On the guidance overall...
Edouard Janssen: The guidance overall, yes, for sure. So indeed, all in all, you understood well that there is no change in the outlook. And let's flag that it seems to have been well understood, right, by the market there. I don't think there is a need to repeat it, even though it has been well understood. And of course, if there are specific questions, we can answer it.
David Vagman: And maybe a follow-up then on the H1, H2 at Belron because you've reiterated several times across the presentation that it was exactly in line with what you expected. So typically, at Belron, they have a weaker margin in H2 because I think of more technician training, because of more bonuses paid, et cetera. So typically, this will be a super atypical year, let's say, for Belron, you confirm that with, let's say, a much stronger margin...
Francis Deprez: [Technical Difficulty] it's not the only time that we've had years before where the H2 was stronger than H1. So in that sense, it's one of those years.
Nicolas Saillez: Trading days.
Francis Deprez: The trading days play a role in -- and of course...
David Vagman: Okay. And then a very quick follow-up on Edouard remark that the market is well understood, that the guidance are reiterated that's valid for each participation? Or is it a group thing? I mean apart from the TVH or I mean...
Edouard Janssen: Yes, yes. It's clearly the case for the group that we confirm the guidance. And given that we lower for the specific case of TVH, it will be compensated by the other activities. Some of it is below EBIT level between EBIT and PBT group share, yes, in the different other activities.
Operator: And your next question comes from the line of Alexander Craeymeersch with Kepler Cheuvreux.
Alexander Craeymeersch: Alexander from Kepler Cheuvreux. First one would be on TVH, and I'm going to try to focus a bit on TVH here. So you previously highlighted like limited sales growth at TVH due to the MPA and APA markets. But you already flagged it in May, and I think you flagged it in the beginning of the year. So there's not really a new development. So I was just wondering what has changed in recent months that led you to revise this outlook from mid-single digit to low single digits and why you didn't lower it during the Investor Day. Second question would be on the negative operating leverage in TVH. You had flat sales, but that means then that you had lower volumes and that was offset by higher prices? Or do you -- does it mean that you have like new capacity coming up and that wasn't underutilized? And the third question would be on auto. Just today, I think it was announced that the EV Polo could be launched earlier than expected. Do you anticipate this to have a meaningful impact because this was highlighted in the Investor Day.
Francis Deprez: Okay. Well, in TVH, yes, of course, this kind of softer market, we have been seeing for a while. It was more patchy maybe a good year or 1.5 years ago, and then it became a bit more across the different regions and especially in the historically important verticals like MPA and then also APA. So a bit more across the board, I would say, in TVH. And so to the extent that it remains a bit across the board, that would be one of the reasons why we would see no immediate signs of improvement to that. But we do see some signs of improvement here and there. However, it's not because you have some signs of improvement on the volume side here and there that you mainly have it also on the pricing side. And so the overall translation, the top line growth is, of course, price times volume. And so where we have seen some recent improvements on volume, we may not necessarily have seen it on the price. And so that's why we've opted to say, well, it's probably good to be a bit more cautious and what it may mean in the short term for this year. Now it doesn't change, I think, the growth profile of TVH in the medium term. In May, we gave a medium-term outlook for TVH. That does not change. So very much sticking to that, sticking both to the ambition and what we think is realistic. But for this year, 2025, we thought it would be good to be a bit more cautious on that. And if you have a bit less top line, given the initiatives that are up and running at TVH and the fact that they are, of course, set up for future growth, you do have a bit of margin dilution more than we had originally anticipated at the beginning of the year. That's basically the logic, I would say, in why we've shifted a little bit within TVH.
Edouard Janssen: About auto and the EV Polo, well, like we said, right, there is already a good portfolio of EVs, right, in the different brands. We said 28% of the electric market share in the electric car market in Belgium. And adding Polo and electric Polo would definitely be potentially a car which is a bit more on the lower end in terms of price. So it could be welcome. But like we said, there is currently a very solid portfolio of cars. So we don't expect -- it's just an addition that will be welcomed, yes.
Francis Deprez: Yes, exactly. We will -- and we know that in the years to come, there will be smaller electric vehicles coming out. And also the Volkswagen Group is lining up for that and is trying to -- in terms of its timing, its pricing and et cetera, to be competitive because some other brands have already launched some of those lower-cost electric vehicles as well.
Alexander Craeymeersch: Okay. Maybe if I can just have a small follow-up on TVH or actually, yes, it's a bit more on the new CEO that's coming in or at least needs to be chosen still. I was just wondering, is this going to be a different style or what specific qualities are you looking for, for this position? And also, what does it mean to the commitments to the 2028 targets for this business?
Francis Deprez: Yes, it doesn't change the strategy and the overall ambition going forward, but the type of profile that we are looking for, given that we have that ambition for the future is, of course, somebody that kind of can contribute to help the whole organization of TVH to continue to grow because it is a growing company. There's lots of opportunities in all the verticals and all the regions. And to do that growth in a sustainable and profitable manner, that's the strategy of TVH basically. We, of course, is somebody who kind of can fit well with the DNA of the company. It's a company of growth. It's a company of commercial drive of trying to be innovative and ahead of the market. They're very good at service, very responsive at service and remain very entrepreneurial. It's an entrepreneurial company. It's also a family-based company. And so these are the -- we are, of course, looking for leadership. And fortunately, we have lots of great talent at TVH. But of course, the CEO, the future CEO will also be able to take a leadership role within that setup. So that's what we're looking for as TVH gets grower, and it's already very international as a company, and so it will continue to be that way.
Operator: And your next question comes from the line of Kris Kippers with Degroof Petercam.
Kris Kippers: A couple of small ones remaining. First one, looking, of course, at the leverage evolution across the group, you've now quickly solved the leverage at the holding level with nice cash upstreams. Can we anticipate dividend flows from the entities to continue now? Or is it something which will be steered due to that cash at the holding level? And secondly, then linked to that, how comfortable do you feel with leverage levels at PHE, TVH well above or around 3x? Is that an issue? Or it's not something you're looking at for future transactions? That's the first question.
Edouard Janssen: Okay. Sure. So indeed, in terms of leverage evolution, we are very satisfied of the leverage evolution, both at Belron and at the corporate level, very much in line with our plan following the shareholder reorganization last year. We do expect the dividends to continue very much so indeed, I think we had described that also at the Investor Day. So we do expect -- we have dividend policies in place with the different activities. As we've said, PHE right now is the one not contributing and that of course, because they are nicely focused on M&A, which is also very positive on the synergy side. So we do expect dividends to continue like this year. Of course, the exceptional part of the dividend at auto that was exceptional, it was a onetime. And going forward, it will be more of a normalized dividend. Then PHE and TVH, around 3x. I think we said as well at the Investor Day, 3x in terms of leverage is very much a level we find adequate for that kind of a business because it's a good way to lower the cost of capital. And it also provides some means. There is sometimes a bit of tax optimization as well. And it also provides some means to finance inorganic growth, right, at which PHE is definitely, they have excelled on that, right? So -- but also for TVH, last year, we had the acquisition -- so around 3x is very much what we have in mind. And we said that they could sometimes go a bit above that typically for PHE, which is active in a market where there is room for consolidation. It's something we could see, but on a relatively temporary basis.
Kris Kippers: Yes. Okay. And then just second question, going back to Belron. We've seen indeed some softness in general in the U.S. market. Volumes have turned in general on the Belron level. But could you share with us the current situation in the U.S. given the cash market still, of course, taking a steep part of the market. How is your positioning right now? And how are the summer months? Could you give us some insight on that?
Francis Deprez: Well, I can reiterate what I said before, I saw some summer volumes that are trending positively. That includes the U.S. So in that sense, that is also true for them.
Kris Kippers: And on the cash market, your market share, is that moving up or given...
Francis Deprez: We have been happy with our efforts in cash. So in cash, we've been doing quite well and had nice growth rates there, and there's no reason to believe why that should change in the coming months. So yes, cash has been an increased focus, as we said before, and we're growing in cash, but of course, from lower levels.
Kris Kippers: Yes, indeed, correct. And then just a small third question on PHE. You clearly mentioned some cost inflation stickiness staying there. Does it imply you're going to adjust your cost base somewhat? Or what are the measures taken? Are you happy with the current margin?
Nicolas Saillez: Well, there are always -- I mean, the management takes always a hard look at the cost basis. It is something that they've built over the years. It's a muscle that they've built over the years. So we know they're doing the work there. There is nothing specific to mention this year from that point of view.
Operator: And your next question comes from the line of Andy Grobler with BNPP Exane.
Andrew Grobler: Just one remaining one around tariffs. You mentioned that you got the inventory in a couple of businesses ahead of [Technical Difficulty] how is that kind of moving through the remainder of the year? Is that impacting your business across Moleskine across so on and so forth? A little bit more detail on that would be fantastic.
Francis Deprez: Yes, I'm not entirely sure whether I understood your question correctly. I think you were asking whether the inventory buildup that had happened in anticipation of tariffs, whether that would continue like that or whether that would change very much like that. I think what we wanted to do, we have more or less done. Of course, we have to continue to monitor what the tariff impacts will continue to be. And so far, we've had only very limited tariff impacts in H1 on our businesses, partially because we anticipated that through inventories, et cetera. We're going to have to see a little bit how that plays out. Some businesses like TVH, of course, do push pieces around the world in all directions and in all forms and shapes. And of course, the tariff situation continues to evolve. And so we have task forces in every single business monitoring what the tariff implications might be and trying to, with as much agility as possible, anticipate things, react upon things and make things work so that our customers can continue to be served and achieve their things. Now we do not anticipate massive changes in inventory policy in the coming months because of that. But nothing particular to note, I would say, on that front.
Andrew Grobler: Okay. So in terms of reiterating the guidance, the assumption is still that tariffs and trade policies not have impact on the business through the second half of the year...
Francis Deprez: Yes. I think our guidance has always been set without any massive external shocks or whatever. And so we -- of course, if there would be another Liberation Day coming up, hopefully not.
Edouard Janssen: You can also say that now we have a bit more clarity, right, on the tariffs since Liberation Day unless new elements would come.
Operator: Your next question comes from the line of Jeremy Kincaid with Van Lanschot Kempen.
Jeremy Kincaid: I have 3 questions on Belron. The first one is just on the growth within the Eurozone. Last year, you obviously did double-digit organic growth, and that's now slowed to mid-single digit. I was just hoping you could provide some color around the moving parts with that. My second question is then on the Capital Markets Day, obviously, one of the strategic pillars for Belron was to grow and expand into new geographies. And I can see from your website that you now have a presence in South Korea, I think Thailand or Vietnam, one of those and also Brazil. Just curious as to how those markets are going and potentially, if you could compare the rollout of your network in those markets to when you expanded in other international geographies, it would be interesting to compare and contrast how that's going. And then just finally, I'd love to push more a little bit on your comments around how the recent trading performance is showing encouraging volumes. Do you think this is the end or the turning point of the whole claims avoidance trend in the U.S.? Or do you think that's just a temporary spike in demand in the summer months?
Francis Deprez: Okay. On the Eurozone growth for Belron, of course, we're not going to necessarily do double-digit every single year. So the comparison gets, of course, a little bit tougher, especially with the milder winter that we may have had this year in the Eurozone. At the same time, we're actually quite happy with the volume growth that we have seen in several of the European countries. But with the less trading days effect, et cetera, in the end, if you look at what you see in the end result in H1, it looks less spectacular, of course, than last year. But so in several of the European markets, we've had very good growth rates. In some other ones, it was a bit of a tougher situation, but that's not abnormal, so I would say. So all in all, in the midst between the 3 regions, they actually did have the highest top line growth of the 3 regions within Belron. And so it shows kind of the robustness overall, I would say, of the European markets within. In new geographies, don't forget that when we do things in Thailand and so on, this is still very much under a franchisee model. So this is not something you're going to see a lot of effect of into Belron's numbers. The business in Thailand, for instance, is going very well, actually. So we the current, let's say, branches that we have are going very well. We're adding the branches as we want to, but it is together with a local partner, and it's a franchisee model. So you will not see a lot of effect there. And it's too early to speculate whether -- when those markets would have a certain maturity where we would potentially do corporate owned or not. So this is really, I would say, not yet moving the needle from that point of view. But it is interesting and it's good and it's important that we can start building our brand in some of those markets there as well. And then thirdly, in terms of the claim avoidance U.S., it's really too early to tell anything. Yes, you see some forms of normalization in the insurance markets here and there. But is that now, as you say, the end of the "[indiscernible] phase", really too early to tell. But of course, we're monitoring that very closely.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Francis Deprez for closing remarks.
Francis Deprez: Well, thank you very much, all of you for having dialed in into our call from wherever you were in the world. And we're looking forward to speaking to maybe to some of you as part of the road shows that we will be engaged in as of tomorrow. So thank you very much, and have a great evening, all of you.
Operator: Thank you, presenters. And this now concludes our presentation. Thank you all for attending. You may now disconnect.